Operator: Good morning. My name is Joelle, and I will be your conference call facilitator today. At this time, I would like to welcome everyone to the BTB Real Estate Investment Trust 2024 Second Quarter Results Conference Call for which management will discuss the quarter ended June 30, 2024. All lines have been placed on mute to prevent any background noise. Should you wish to follow the presentation in greater detail management has made a presentation available on the BTB’s website at www.btbreit.com/investors/presentations/quarterlymeetingpresentation. After the speaker’s remarks, there will be a question-and-answer period, reserved exclusively for analysts. [Operator Instructions] Before turning the meeting over to management, please be advised that some of the statements that may be made during this call may be forward-looking in nature. Such statements involve numerous factors and assumptions and are subject to inherent risks and uncertainties, both general and specific, which give rise to the possibility that predictions, forecasts, projections, and other forward-looking statements will not be achieved. Several important factors could cause BTB Real Estate Investment Trust’s actual results to differ materially from the expectations expressed or implied by such forward-looking statements. These risks and uncertainties and other factors that could influence actual results are described in BTB Real Estate Investment Trust management discussion and analysis and in its annual information form which were filed on SEDAR+ and on BTB’s website at www.btbreit.com/investors/reports. I would like to remind everyone that this conference is being recorded. Thank you. I will now turn the conference over to Mr. Michel Léonard, President and Chief Executive Officer, accompanied by Mr. Marc-André Lefebvre, Vice President and Chief Financial Officer; and Ms. Stephanie Léonard, Senior Director of Leasing. Mr. Léonard, you may begin your conference.
Michel Léonard: Thank you, Joelle. We are also here in our boardroom with Charles Dorais Bédard, who is in charge of all the financial disclosures. The portfolio at a glance, we still are at 6.1 million square feet, 75 properties that we own for a fair value of a little bit more than €1.2 billion. I remind everybody that 75% of our properties were externally appraised at the end of 2023. Investment activity is still focused and, obviously, focused on industrial assets. We have disposed at the beginning of the year of 2 suburban office properties for a little bit more than $6 million. We have 3 office properties on the market today. We’ve received 2 offers on 2 of the 3 office properties and the other one is in due diligence – all the three of them are in due diligence. We’re still actively involved in our densification opportunities on our sites and I’ll go through it really quickly. The real estate portfolio composition is basically we’re at 36.6% of industrial assets, up from a few years ago at 19.5%. Our suburban office weight is diminished from 53.7% to 42.7% and our necessity-based retail has gone also down from 26% or almost 27% to 21%. The geographic diversification of our portfolio still reports that 20% of our properties located in Quebec City, 54% in Montreal, 2.4% in Trois-Rivières, 13% in Ottawa, 4% in Saskatoon and almost 7% in Edmonton. Regarding our development opportunities, we are pleased to report that we have signed our lease with the winners for our property located called the Méga Centre Rive-Sud in Lévis, Quebec. So this is the construction of a 43,000 square foot Pad, again, 2 winners. The construction period is between 12 to 18 months. Obviously, the lease has been signed, the construction has begun and the footings have been poured, the steel has been installed as well as the roof deck. So the expected delivery to the tenant will be around February 2025 with the lease commencement in Q2 2025. So if we’re looking at construction costs versus initial appraised value of the property, we’re looking at a lift on our total valuation of our properties. The other site is at 2611 Queensview Drive, where the city of Ottawa is working steadfast on changing the zoning. The current zoning is for office on our site for a maximum of four stories and we’re expecting the site to be rezoned to a 24-story residential possibility. Also, the other opportunity that we do have is on the island of Montreal property. We’re focused on changing the zoning with the city and we understand that the vote is going to take place in September 2025 by the city in order to approve the new zoning requirements on our site. And we understand that the densification for residential is going to be permitted on our site. So the key highlights, again, 6.1 million square feet, fair value of our investment property $1.2 billion. The leasing activity, the total leasing activity for the quarter was 256,000 square feet. And a record committed occupancy rate of 94.6%. With this, I’d like Stephanie to take you through our leasing and lease renewal activity.
Stephanie Léonard: Thank you, Michel, and good morning, everyone. Just a reminder that if you’re following us on our slide deck that’s available on our website, we’re currently on Page 9 of our presentation. So throughout the quarter, we managed to lease and renew approximately 257,000 square feet across our portfolio, of which 217,000 square feet were lease renewals and 40,000 square feet were new transactions. Out of our new transactions, our suburban office segment continues to show velocity as 88% of our cumulative leasing activity comes from this segment. In terms of our new leases completed this quarter, in terms of some noteworthy transactions, we concluded a 14,500 square feet, again, just rounding up with Énergie Cardio in Quebec City. As a reminder, we had a previous Énergie Cardio banner that went bankrupt, and we now successfully released the vacant space to a new operator, 3,450 square feet with MNP in Trois-Rivières. Important to note that this also consisted in an anticipated lease renewal with this expansion of 3,450 square feet, MNP now has a total footprint of 23,000 square feet within our property in Trois-Rivières. In terms of another transaction more on the retail side, we leased 3,200 square feet in Saint-Lazare. So our property in Saint-Lazare, which has been part of our portfolio for quite some time now and we’re happy to report that this transaction brought our occupancy rate of the property to 100%. So our suburban office properties in the Quebec City market continue to show their strategic positioning as 87% of our new leases signed during the quarter were concluded within that segment and that’s including our property in Trois-Rivières as well. In terms of our lease renewals for the quarter out of the 217,000 square feet signed, 158,000 were with tenants whose leases expired during the quarter and 58,000 were renewed in anticipation of the tenant’s maturity. We achieved an average increase in the lease renewal rate of 5.7% for the quarter and in terms of the breakdown per asset segment, a 6.8% increase for our suburban office segment, 5.2% for our necessity-based retail, and 5.7% for our industrial segment. The overall increase for the cumulative 6-month period, so Q1 and Q2, was 6.6% for our lease renewal rate. Our top three noteworthy renewals for this quarter were concluded with Sobeys, so our IGA located in the West Island for 45,000 square feet. Continental Capital in Saint Bruno for 30,000 square feet, that’s a retail site, as well as AMA property management for 25,000 square feet in Edmonton. Pages 11 to 13 of our slide deck provide a little bit more color in terms of the new leases as well as our renewals for the quarter. In all, our leasing activity brought us to a 94.6% occupancy rate for the quarter, as Michel mentioned, an all-time high for BTB. As a subsequent event to the quarter, we were notified of the bankruptcy of a tenant occupying our property located on des Laurentides in Laval, which is strategically located along Highway 15. We, therefore, have a new leasing opportunity of roughly 133,000 square feet in our industrial segment that is available today. We already have actively started marketing this opportunity, which has tremendous potential, and it has great potential, great visibility along Highway 15, so this is a new opportunity for us within our portfolio. So with this, I’m going to turn it over to Marc-André Lefebvre for the financial review.
Marc-André Lefebvre: Thank you, Stephanie, and good morning, everyone. The financial results for the second quarter reflect the resilience of our industrial segment, the continued leasing velocity in our office and retail segments, and our ability to manage the rise of interest expenses. The portfolio allocation by asset class continues to evolve in line with our strategic plan, with now more than 36.6% of the investment property value coming from the industrial segment, an increase of 2.3% compared to the same quarter last year. We are constantly looking to reduce our office allocation and recycle capital in an organized fashion into our industrial segment. For the 3 months ended June 30, 2024, adjusted FFO per unit was $0.104, a decrease of $0.014 from the same quarter last year. The decrease is explained by a NOI reduction of $0.2 million, an increase in net interest expenses of $0.3 million, and an increase in administrative expenses of $0.8 million. Also, please note that the weighted average number of units outstanding increased by $1.5 million, and that’s due to the unitholder’s participation in our distribution reinvestment plan. Looking at rental revenue for the quarter, the increase by 1.6% compared to the same period last year, this is mainly due to higher average lease renewal rates. and also improved occupancy rate. Net operating income decreased by 0.5% compared to the same quarter last year. The decrease in NOI is partially related to the bankruptcy of Énergie Cardio, a tenant in Quebec City, and that impacted NOI by $0.2 million. The vacant space was rapidly leased to a group who purchased the assets of the bankrupt business. Same property NOI increased by 1.4% for the quarter compared to the same period last year. The increase in SPNOI is generally explained by an increase in rental rates for the industrial segments. Looking on a segment per segment basis starting with industrial for the quarter, the industrial segment SPNOI increased by 7.3% compared to the same period last year. This increase is due to an increase in recoverable capital expenditures and an increase in rental spreads for in-place leases. Now, looking at necessity-based retail segments, so again for the quarter, the SPNOI for that segment for retail decreased by 0.8% compared to the same quarter last year. This decrease is due to lease inducements that were granted to tenants who concluded lease renewals during the quarter. Lastly, our suburban office segments, so finally the SPNOI of that segment decreased by 0.9% for the quarter compared to the same quarter last year. This decrease is mainly due to the previously mentioned bankruptcy of Énergie Cardio in Quebec City. And, again, it caused a negative impact of $0.2 million. As previously mentioned, our occupancy level, including committed leases, was 94.6% at the end of the quarter. This is an historical high for our business. Shortly after the end of the quarter, Nuera Air, a tenant occupying approximately 133,000 square feet in the industrial property located in Laval declared bankruptcy. The effect of this bankruptcy is already impacting FFO during the quarter through a provision in expected credit losses of $0.3 million. And this provision is recorded in administrative expenses. Now, looking at distribution paid to unitholders, we maintain our distribution at an annualized rate of $0.30 per unit. The AFFO adjusted payout ratio was 80.2% for the quarter, and this is a decrease of 3.7% from the first quarter of 2024. The value of our investment properties was $1.209 billion at the end of the quarter, a slight increase from the prior quarter. Note that we did not make any portfolio-wide changes to our capitalization rates this quarter. There were no acquisitions nor dispositions in the quarter. Now, turning our focus on the capital structure, we concluded the quarter with a total debt ratio of 58.1%. That’s a decrease of 20 basis points compared to the prior quarter. The weighted average term on our debt is 2.9 years. This is excluding the credit lines, and it’s a slight decrease of 0.1 year from the last quarter. The weighted average interest on total debt was 4.84%, an increase of 11 basis points from the last quarter. 88.1% of our debt is at fixed interest rates, which was beneficial during the rising rate environment of the last couple of years. Now, with the Bank of Canada entering a rate cutting cycle, this points to a positive rate environment for future mortgage refinancing. Our debt ladder remains conservatively structured. As an example, in 2025, there is $84 million of debt to refinance, which represents only 12% of our total debt outstanding. Now, looking at refinancing commitments for the balance of the year, we have close to $72 million of mortgages coming to maturity over the next 6 months, and we currently have commitment letters from lenders for approximately $18 million, so that’s 25% of the amount to refinance. With regards to the upcoming maturity of the convertible debentures’ Series G, totaling $24 million, we are currently exploring all refinancing alternatives. Finally, we are comfortable with our liquidity position. We held close to $1 million in cash at the end of the quarter, and also we have approximately $18 million available under our two credit facilities. Note there’s also an option to increase the capacity by a further $10 million, that’s subject to credit approval. I will now turn the presentation back to Michel for his closing remarks.
A - Michel Léonard: Joelle, we’re ready for questions.
Operator: This is the conference operator. [Operator Instructions] Your first question comes from Tom Callaghan with RBC Capital Markets. Your line is now open.
Tom Callaghan: Thanks. Good morning, guys.
Michel Léonard: Good morning, Tom.
Tom Callaghan: Good morning. Maybe just to start, Michel, you mentioned that earlier in your remarks, I think it was 3 office properties on the market there today. Just any thoughts as to how we should be thinking about potential proceeds on these?
Michel Léonard: I think that if you’re looking at the total amount for the disposition, you’re between $50 million to $60 million.
Tom Callaghan: Okay. Thank you. And then maybe just as a follow-up there, timing-wise on those, and Marc-André, I know you mentioned kind of you’re looking through any and all options for the convertible debentures. So just some thoughts there, are you leaning one way or the other with respect to that potential maturity?
Marc-André Lefebvre: No. Right now, all options are on the table. We’re having proactive dialogue with our bankers. We understand the market is open for BTB if we wish to refinance the convertible with a new convertible, but we’re also looking to add second trenches on existing mortgages where we could potentially repay the convertible bond.
Tom Callaghan: Got it. Okay. Thanks. And maybe if I can just sneak one more in just with respect to the mortgage maturities over the second half, can you just give a sense as to spread or cost on those renewals?
Marc-André Lefebvre: Yeah. So the spread would be – well, in Q3, we have about $35 million coming due. The interest spread on [2 of the 3] [ph], the 3-year loans would be around 100 to 150 basis points. And same thing for Q4, it would be higher. So we have $37 million coming to maturity that we need to refinance, and the spread would be around 150 to 200, that’s because we have a very low rate in place right now.
Tom Callaghan: Got it. Okay. Thanks, guys. I appreciate it. I’ll turn it back.
Michel Léonard: Thank you, Tom.
Operator: Your next question comes from Matt Kornack with National Bank Financial. Your line is now open.
Matt Kornack: Good morning, guys.
Michel Léonard: Good morning.
Matt Kornack: Just with regards to the industrial bankruptcy, you mentioned $300,000 in credit losses. If I annualized that, that would imply something like a $9 in place rent on the 132,000 square feet?
Michel Léonard: No, the in-place rent was $7, Matt.
Matt Kornack: Okay.
Michel Léonard: And we’re looking right now as we’ve given an assignment or the mandate to lease the property to CBRE, who is a dominant broker in Laval where this property is located and the expectation of a lease rate is between $11 to $13 net for the property. So on one side, obviously, bad news, when we receive the news we’re not too thrilled about it, but if we’re successful or when we’ll be successful to release the property then we’re going to have a lift not only in the rental rate, but possibly also in the value of the property.
Matt Kornack: And is it generic space, Michel, that like there’s nothing specialized with it?
Michel Léonard: The height is variable, so we’ve got a part of the property with 28-feet clear, we’ve got decent office, and there’s a portion of the building that was built some time ago. So the portion that was built some time ago is the traditional old style industrial kind of layout, and then it was added on as the years went by. So as you’re moving from, let’s say, the south of the property to the north of the property, you’re going from old to brand new.
Matt Kornack: Would it logically make sense to go after a single tenant, or would you potentially demise it?
Michel Léonard: It could be split, and so we’re on the market with, let’s say, split in half for a single tenant for 132,000 square feet. The market in Laval is a healthy market. As you know, in industrial, it’s a little bit slower, so it takes more than 2 weeks to lease an industrial building these days. So we know that we have some – we’re going to at least a minimum of 3 months to relit the property. Also, I have to say that, I don’t know if you’ve ever suffered or been walked through a property where a tenant has gone bankrupt. But this was quite the news in the sense that it looked like a ghost town. I mean, they put their pencil down at 5 o’clock on whatever day it was, and the next day they never came back to the office. So we’ve got to clean it up like substantially. And that’s something that we’ve undertook already. So we’re starting the cleanup process, but it’s not fun. It’s not something that, it’s really, really, really bizarre. And we didn’t expect it because a month prior they had paid the rent. So it was really for us. There was a huge surprise.
Matt Kornack: Fair enough. On the cost side, this year-over-year looked like OpEx was up a fair bit, and I think it was in repairs and maintenance, I’m not sure if there was anything to that and how we should think about margins? And then maybe also CapEx was a little higher this quarter, I don’t know if it related to some of that redevelopment activity you were speaking to earlier in the call.
Michel Léonard: Not really – the redevelopment or the development or the construction of the winners is going to basically when we had refinanced that property, this retail property, we had foreseeing that they may have been a possibility to build on the excess land that we own. So there was a window that was open with our lender in order to increase the size of the loan to cover 80% of the cost of the construction. So as far as, call it, capital cost or whatever, so we haven’t yet undertaken any capital cost for that property and any, let’s say, the $2 million that we anticipate coming out of our bank account, obviously, is going to be capitalized in part of the value of the property. So the answer to this is, it’s not there. So, I’ll let Marc-André answer the other part of your question.
Marc-André Lefebvre: Sorry, can you repeat the second part of the question?
Matt Kornack: You know what it was, just this quarter, CapEx was fairly elevated as was repairs and maintenance costs. But to be fair, Q1 was very low. So I don’t know if it was just an episodic thing, it can be lumpy. But I didn’t know if there was anything specific in either of those numbers. The OpEx in particular was up.
Marc-André Lefebvre: There’s nothing that’s going to get you.
Michel Léonard: I think it’s more linear and it has to do with, when there’s an increase in the occupancy rate, obviously, there’s an increase in the cost of doing business for these transactions, and then it flattens out. But over the course of the year, we don’t anticipate an increase versus last year.
Matt Kornack: Okay. Fair enough. Thanks, guys. I appreciate it.
Operator: Your next question comes from Mark Rothschild with Canaccord. Your line is now open.
Mark Rothschild: Thanks. Good morning, guys.
Michel Léonard: Good morning, Mark.
Mark Rothschild: In regards to handling the debenture, it sounds like one of the options being considered or maybe this will be part of the solution – not the solution, but the way to deal with it is levering up or taking additional debt on some existing properties. What is it that you would ideally like to do as far as taking your asset level secured debt versus maybe a new debenture or funding with maybe some proceeds of asset sales?
Michel Léonard: Well, Mark, you and I have had a number of discussions on this, and I’m going to hold the line of what I’ve always said. We don’t want to renew a debenture. We want to find alternative solutions to the debenture. The debenture was stuck with it for 5 years. And as a result of being stuck with it, then we’re always going to talk about our leverage ratio for the next 5 years if we go that route. So what we’re attempting to do, as Marc-André described, is to up-financing on some properties, and we’re getting positive signals on that front. It’s not done, and we understand that we could cover the cost of the $24 million of the debentures that comes to maturity. So by up-financing, it means that we would not undertake or have an increase in our debt ratio or stability on our debt ratio for 5 years. It would be for, let’s say, between 2 and 3 years. And that’s the goal that I had set for ourselves way back when we issued the last debenture 4 years ago and at that time we were very reluctant in issuing the debenture, but as you know the market wasn’t there, so we had no choice. Now, we still don’t have a choice, but we know that the syndicate is there in order to issue a debenture. We understand that, let’s say, it would be around an 8% coupon, which is higher than the cost that we would suffer or incur by up-financing on our properties. And, let’s say, that the blended cost of the up-financing, call it, 4.25%. So there’s substantial difference in the interest cost that we have to cover also. So the debenture that comes to maturity is at 6%. We have to – and I don’t want to ill talk about anything, but when you issue debenture you have, let’s say, a 4% commission to pay. And when we go to up-finance, we don’t have these types of costs. Let’s say, it’s going to cost us $125,000 to do what we’re planning to do. So, overall, to up-finance at this time is for us the preferred choice. So now, call it, as you would say, it’s execution. So can we execute on this plan? And that’s what, so fall back, we go for debenture, because we have no choice, and our preferred choice is up financing, because we’re saving a ton of money and we’re not stuck with a product for a 5-year term. So that’s basically the direction we’re taking, and I’m repeating, it’s not done. So it’s two scenarios, and we have a preferred one, and we have a backup if we need to.
Mark Rothschild: Okay. Great. Thanks. Yeah, that’s it for me.
Operator: This is the conference operator. [Operator Instructions] Your next question comes from Sumayya Syed with CIBC. Your line is now open.
Sumayya Syed: Thanks. Good morning.
Michel Léonard: Good morning.
Sumayya Syed: I wanted to follow-up on just the prospects for releasing that industrial vacancy in Laval. I think previously you indicated potentially seeing market rents in the range of 14 to 16 versus, I guess, today you’re saying updated rents of 11 to 13 range. Just wondering what’s behind the lower expected rents of that’s just reflecting stabilization in the broader industrial market?
Michel Léonard: Sumayya, I’m trying to be conservative when I speak to the market. I’d rather surprise you positively than negatively. Obviously, in the industrial market, there’s been a little bit of softening. I’m sure that you saw all the results from the different cities in Canada, and we’re seeing that there’s an increase in vacancy rates throughout the country. And as a result of it, I think that the fact that there’s more properties on the market than there were, and also properties like there’s been an increase in the construction in Laval of brand new products, so we’re competing with brand new products. And if the developers of the brand new products, they probably can’t get $16, but if all of a sudden they decide to hit the market at a lower rate, then we would suffer. So it’s marketability. I said to you this morning between 11 and 13, we’re in the market right now at $14.50. So the asking price is $14.50, but I’m basically looking at it and saying that I think that there’s a market effect that we’re going to have to take into account for this property.
Sumayya Syed: Okay. That’s fair enough. And then for the balance of the leases left to mature this year, I think you have about 200,000 square feet of office that is maturing. I’m just curious what your expectations are for that space.
Michel Léonard: Well, if we look at our crystal ball, we don’t anticipate huge problems on the leasing effort for lease renewals. We think that this year we’re going to be able to complete. This quarter, we renewed 80% of our leases plus leases that we’re maturing in 2025 and 2026, so we’re still very confident that we’re going to achieve a great number as far as our lease renewals for the year.
Sumayya Syed: Okay. Great. Thank you.
Operator: At this time, there are no further questions. Please go ahead, Mr. Léonard.
Michel Léonard: Thank you, Joelle. Thank you, everybody, for participating in our call this morning. As you can see, I think that there are two events that were a little bit new to us, the bankruptcy Énergie Cardio, and the quick turnaround where we were able to release that property. Then we’re faced with this 133,000 square foot vacancy in the industrial segment that we think that we’re going to be able to fill not as rapidly as Énergie Cardio, but we think that we’re going to be well positioned in the market. As Stephanie mentioned, the property is well-located. Everybody in Laval knows this property and as a result it should attract tendency that seek good visibility on the highway. Aside from that, we are still conducting our business. We have ways of addressing the debenture as we discuss that comes to maturity on October 31, and it’s not something that we’re forgetting and it’s something that we want to put our final scenario in place by September 15 at the latest. So we’re steadfast in trying to get all the commitments that we need to do on our preferred scenario and we strongly believe that the preferred scenario is the way to go for us for the long-term. So with this, we thank you very much for participating and supporting me in our efforts to conclude all of these challenges. Thank you very much.
Operator: This concludes today’s conference call. You may now disconnect.